Operator: Good morning, and welcome to the Hilton's First Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode.  After today's prepared remarks, there will be a question-and-answer session.  Please note this event is being recorded. I would now like to turn the conference over to Jill Slattery, Senior Vice President, Investor Relations and Corporate Development. You may begin.
Jill Slattery: Thank you, Chad. Welcome to Hilton's first quarter 2021 earnings call. Before we begin, we would like to remind you that our discussions this morning will include forward-looking statements. Actual results could differ materially from those indicated in the forward-looking statements and forward-looking statements made today speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the factors that could cause actual results to differ, please see the risk factor section of our most recently filed Form 10-K. In addition, we will refer to certain non-GAAP financial measures on this call. You can find reconciliations of non-GAAP to GAAP financial measures discussed in today's call in our earnings press release and on our website at ir.hilton.com. This morning, Chris Nassetta, our President and Chief Executive Officer, will provide an overview of the current operating environment. Kevin Jacobs, our Chief Financial Officer and President, Global Development, will then review our first quarter results. Following their remarks, we'll be happy to take your questions. With that, I'm pleased to turn the call over to Chris.
Chris Nassetta: Thank you, Jill. Good morning, everyone. And thanks for joining us today. It has been a little over a year since the pandemic started. Over that time, we acted swiftly to address the challenges we face so we could quickly turn our focus to best positioning ourselves towards recovery and beyond. I'm really proud of how we've set up the company for the future. And most importantly, I'm grateful to our team members who have continued to lead with hospitality and to all of our stakeholders for their ongoing support. In the first quarter, system-wide RevPAR decreased 38% year-over-year and 53% versus 2019. Rising COVID cases and tightening travel restrictions particularly across Europe and Asia Pacific weighed on demand through January and most of February, March marked a turning point as we lapped the start of the U.S. lockdowns RevPAR turned positive of more than 23% year-over-year. System-wide occupancy reached 55% by the end of the month, driven by strong leisure demand. As expected recovery in group and corporate transit continued to lag but both segments showed sequential improvement versus the fourth quarter. Overall, this positive momentum has continued into the second quarter. While recovery varies by region and country, we can see the light at the end of the tunnel.
Kevin Jacobs: Thanks, Chris, and good morning, everyone. During the quarter system-wide RevPAR declined 38.4% versus the prior year on a comparable and currency neutral basis as rising COVID cases and reinstated travel restrictions and lockdowns disrupted the demand environment, especially across Europe and Asia Pacific. However, occupancy improved sequentially throughout the quarter, increasing more than 20 points. Adjusted EBITDA was $198 million in the first quarter down 45% year-over-year. Results reflected the continued impact of the pandemic on global travel demand including temporary suspensions at some of our hotels during the quarter. Management franchise fees decreased 34% less than RevPAR decreased as franchise fee declines were somewhat mitigated by better than expected license fees and development fees. Additionally, results were helped by continued cost control at both the corporate and property levels. Our ownership portfolio posted a loss for the quarter due to the challenged demand environment, reinstated lock downs and travel restrictions in Europe and Japan coupled with temporary hotel closures and fixed operating costs including fixed rent payments at some of our leased properties weighed on our performance. Continued cost control mitigated segment losses. For the quarter diluted earnings per share adjusted for special items was $0.02.
Operator: Thank you. We will now move to our question-and-answer session.  And the first question will come from Carlo Santarelli with Deutsche Bank.
Carlo Santarelli: So Chris, Kevin, you guys gave some helpful data points around kind of the acceleration that you saw throughout the first quarter. And speaking more maybe on the U.S. front, could guys maybe talk a little bit about, March and maybe to the extent you're willing to April and how kind of not only RevPAR trends, I know, you gave some data points on occupancy, with the 55% exit rate coming out of March, kind of what you've seen from a fee generation on the U.S. side as it pertains to the occupancy gains. And then, perhaps how you're thinking about beyond people coming back into the office, the aspect of pent up demand within the business and corporate traveler as we get maybe it's probably a fourth few event, I think most of us would assume at this point. But how do you guys think about that?
Chris Nassetta: Boy, that's a lot of questions all embedded into one. But that is probably the most important; I'll cover parts of it. Maybe Kevin will throw some things in. And we'll save a little bit maybe for later, because I'm sure there is a lot of similar questions, but thank you. And I do think that is the question, obviously as both Kevin and I covered Carlo, we saw, pretty marked improvement, as we march through the quarter. And that continued into April. In terms of the global data, I think the best way to look at it is against, a 19 comparison, because looking at it against, 2020, particularly right now, as you were in the early stages of the pandemic is relatively useless. And so, if you look at January and February, you were globally and the U.S. was similar, if you look at it, you were sort of in the 55% to 60%, down from a RevPAR power point of view. And you picked up about 10 points, going down into the -- sort of the mid 40s down in March. And then, in April, you had another step up and into the low 40s. Obviously, made a little early to say but I would say that trajectory in our mind continues if we look at forward bookings both. On the leisure transient side, which is what's going to dominate the second quarter, it feels like we're going to continue marching on. If you look at it by segments, which I you know, obviously, it's been a lot of time and this will sort of get to some of our views on the business transient and the group side. If you look at it, you break down room nights by segments relative to 2019. Again, I'm focusing on room nights to sort of take rate for the moment out of it. Leisure in the first quarter was already close to 90% of 19. By the way, for what it's worth, much lower based on lower rated business, but just again, room nights. And business was about 50% in the first quarter, again, lower if you look at it, on a RevPAR basis. And group was about 35 to 40. As you march through, our expectations for the year, our belief is globally and every region will be a little bit different. And I'll save a regional question for somebody else, because I don't want to do too much of a filibuster on one question. But if you march through, the year, my expectation is, you're going to have an incredibly robust, leisure driven summer. So we're going to continue to see good progress. We believe the summer will be meaningfully over 2019 peak levels of leisure demand as we get into the fall and every day, you're reading the same things I'm reading, but I'm also as I'm sure you are talking to a lot of CEOs of large companies that we deal with or that are friends of mine. And I think, clearly, as you get into the summer, many people are starting to bring folks back in the office, certainly, as you get into the fall, all things, sort of being equal in terms of trajectory, vaccination, most businesses are going to be bringing folks back maybe not fully, probably not fully, but on some flexible basis. But a whole lot different than what we've been experiencing. We do believe that and we do see it both in China, as I said in my prepared comments, we do see it in parts of the United States, where restrictions have been lifted earlier, I mentioned in my prepared comments, business travel volumes already 75% of what they were in '19 in those markets. So I think it is -- even though not fully through it not fully open anywhere, I think it is really good evidence that as people get back to work as kids in the fall, go back-to-school, which at this point, I think is very highly likely you are going to see a step change into the third and fourth quarter in business transients. I also see it in our booking pace on the group side that you will see a pretty good step change in the group side, I gave you some stats, so I won't repeat them. At the moment, it is more Smurf kind of related business and small meetings in the second half of this year with the bigger meetings, really some happening but really those getting booked more into next year at a high volume. But we do believe that that we will have a lot of realized group business a lot more of it than we've been experiencing in the second half of the year. So if you sort of jumped to the fourth quarter, recognizing Q2 is going to be largely leisure, Q3 is going to sort of be a transition on a room night basis. Our forecasting, which is all it is, but it's based on a lot of data. And then based on sort of the current trajectory that we're on, we think room nights and leisure will be at 19 levels. We don't think rates will be back to 19 levels. So sort of RevPAR levels in the leisure sort of in the low 80s sort of percent. We think business transient and by the time you get to the fourth quarter based on what we're seeing in markets that are recovering on a room night basis will be about 70%-ish. I'm being reasonably precise, obviously, but these are sort of our sense of estimate. And obviously, lower than that on a RevPAR basis, because we're still not going to have the all the highest rated business travel back. That's why it takes time to sort of get back to 19 levels. And we think group from a volume point of view could be halfway back to 19 levels. Again, it won't be the highest rated groups, those will start coming next year when we get to a place where we have the larger groups, association, etc, that are typically are paying. So that's sort of -- that's how we think the year is going to play out. We think that, as a result, RevPAR levels every sort of month as we go versus 19 are going to get better. By the time we end the year, I think we could be back somewhere around 70% or something-ish of 19 levels on a run rate basis, which isn't all the way home, but is a heck of a lot, better than where we were and what I would say not to be pollyannaish about it, what I would say is, the recovery of late, certainly since we had our last call the recovery, the slope of the recovery has been steeper than what we would have thought in all regards. Now, a lot of it has to come on the business trends, that we're seeing some as I described, not like we have none. And we're seeing a pretty decent up tick. But that is sort of a fall expectation. But I would say broadly, as you can probably tell from my comments, there's a bunch of data to support it, we think the slope of the recovery has steepened since the last time we talked. And thus, our reason for optimism, the things are on a good path. You asked about fee generation that will follow and I don't think there's a whole lot more to say that, as the business recovers, so go our fees, that's how we get paid. And I do think sort of built into my expectations that I gave us sort of my view and our view of pent up demand. I think there's a huge amount of pent up demand. And my guess is every single person that you guys talk to whether they run a business, whether you talk to him, they're a friend of yours, you see him on the beach, or wherever you are, that they're talking about needing to and wanting to get out both for leisure but increasingly needing to and wanting to get out for business and to congregate in groups. There are a lot of important work to get done in these group settings that I think after a while people realize that that is not possible to keep going without it. So I do think there's a -- I think we're on a real -- on a very good slope, we need the vaccination trends and the infection rates and all of the fun stuff that we're all looking at, every minute of every day, because that's all the media is covering, obviously, we need all that to progress. But our view is, we're on a very solid road to recovery. Did I get most of what you wanted? I let a few nuggets for somebody else to ask about.
Carlo Santarelli: Yes. I don’t drive corporate tunnel for writing. So I appreciate the response. Thank you very much.
Operator: And the next question will be from Joe Greff with JPMorgan.
Joe Greff: I think most of my demands related, recovery related questions were sufficiently answered before. So I just like to talk about the development pipeline, nice to see that up sequentially, on a quarter-over-quarter basis. What we've been seeing for a while now is that the non-U.S. component is becoming a bigger percentage of the pipeline. How much of the non-U.S. is limited service? And how did that composition -- how did that compared to maybe a year ago? And maybe where I'm going with this question is when you look at the average fee per room, in your development pipeline now versus a year ago? Is that average fee per room up or down?
Kevin Jacobs: Yes, that's a good question. I think those trends are not changing dramatically in the short term, right? They sort of stay, we've got a pretty good development pipeline, both in full service and limited service, you have seen growth, I mean, primarily through our master limited partnerships in China with Hampton and Home2. But also, as we deploy Hilton Garden Inn and other brands around the world, you are seeing slightly faster growth in limited service. So for it to change the overall trajectory of fees per room, it will take a really long time. And so that has been pretty steady, as has the mix between full service and limited service generally speaking in both the pipeline of rooms under construction, I think it's about 60:40, full service limited service. And that stayed pretty constant. All the other way, sorry, 40:60.
Operator: Next question is from Shaun Kelley with Bank of America.
Shaun Kelley: Chris, or Kevin, maybe to stick with the same development topic. Inflation has become a big theme around all the markets recently. And I just want to get your thoughts on specifically what this could mean for the hotel development side? Are you seeing or hearing about any changes or delays that could be out there as a result of things like materials inflation? Is this particular concern to you at all and how you're underwriting or what you're starting to hear back from your development teams?
Chris Nassetta: Yes, I mean, of course, it's a concern. I mean, we haven't sort of inflation going on, not just in the input costs, but labor as well. So when they ultimately -- when people need to operate, open and operate, the costs are higher. Now we've done a bunch of things and are doing a bunch of things to bring costs down inside the hotels by creating really good efficiencies that I think will more than offset that component of it. But costs to build are going up and financing is not particularly readily available for the best owners it is and people are starting new build projects in the U.S. and around the world. But, I suspect and sort of built in, Shawn, to our expectations on the unit growth is that the U.S., you will see a cycle where particularly in the U.S., the new construction numbers are going to be much, much lower, that's obviously long-term healthy for the industry. But the good news for us is the world is a big place and the pressures are not the same in all places in the world, particularly recognizing that the place where we get the second biggest chunk of our growth is Asia Pacific and China in particular. And those, those pressures are very different in the sense that they're less and there's a lot more financing available, etc, etc. And so, not unlike coming out of the Great Recession, our job is to be really resilient. This is the benefit of an investment in a big global company. I think we're really good at this and sort of anticipating and adapting to the trends. And like, after the Great Recession, the same thing happened in the U.S., there wasn't so much an inflationary so there was just a dearth of capital and new construction starts went way down, that's what's happening here, that'll be healthy for the industry and what did we do, we pivoted then the same way. We're pivoting now, just with more tools in the toolkit, meaning conversions become a much larger part of what we're doing. And we are much further along in terms of the relationships we have around the world, in the areas of the world that are continuing, to not only motor along, but pick up steam. I mean, I think China is an example, in our second biggest market, we're going to sign more, start more and open more deals, than I think we ever have this year, right. And so, diversification is a powerful thing. Ultimately, I do believe the pressures on the cost to build will abate over a period of time and I don't think it'll be that long a period of time, I'm highly confident that the financing markets will -- have been easing up and will continue to ease up and the U.S. in terms of new development, or new construction starts will be a huge engine of opportunity for us, as it always has been and pick up a lot of steam. And I'm sure other things around the world will happen over time where they slow down. But, we're very quick on our feet, not to pat us on the back too much. But I think we've been able for 15 years to continue to drive really good growth. While lots of crazy things are going on around the world, because there are different conditions and there's ways to continue to grow. And so, while we do starting -- finishing with where I started, we do worry about it. I think we have a plan to address it. I think we've built that into the expectations that we've provided to you guys in terms of where we think growth will be.
Operator: Next question will be from Stephen Grambling from Goldman Sachs.
Stephen Grambling: On capital allocation, what are the key factors you are considering and bringing back the dividend and/or buyback and thinking through just capital allocation priorities more broadly?
Kevin Jacobs: Yes, I think, look, the second part maybe is a little more straightforward. Our overall view on capital allocation hasn't changed. Obviously, we've suspended dividend and buyback to preserve liquidity during the pandemic, but the way we think about it broadly hasn't changed. And I think the way we think about it, more specifically on the first part of your question is, we want to get a little further into the recovery, a little bit further into reliably generating free cash -- positive free cash flow and having our leverage levels start to come down. And so that, unless something crazy happens, we think that happens over the course of the year, we'll talk to our board about it sort of in the second half of the year as the recovery takes shape. And we'd say it's highly likely that starting next year, we get back into the capital return business.
Operator: And the next question is from Thomas Allen from Morgan Stanley.
Thomas Allen: Hearing your earlier comments, the slope of recoveries are better than expected, Chris, what's your latest thinking on when RevPAR gets back to 2019 levels?
Chris Nassetta: Yes. That's a great question. Actually, Thomas, thanks for asking. It is one that we were debating over the last few days ourselves. And there are varying opinions on it even in inside our own shop. I mean, I've been saying 23 or 24, as you know, on these calls publicly and I still believe that I think with the slope of the recovery I'd probably be on the earlier end of that, rather than the later, as we have a little bit more visibility. I think there is a chance from a room night point of view, certainly on a run rate basis that we get back next year. But I think to get both room nights and rate and the compression we need requires certainly in the U.S. that broadly requires the bigger groups to be back. And while I think they're coming back and certainly they want to be back, the planning and all of that, say it's on a lag. So I think that takes some time next year. So I still say 23, 24, but I'd probably hear towards the earlier end of that.
Operator: The next question will be from Smedes Rose with Citi.
Smedes Rose: I kind of along the same lines, you see the acceleration, in RevPAR, in your conversations, really on the corporate side, for groups less on the association side? Do you sense any hesitancy on the part of corporates to move back in terms of having enjoyed a year of essentially no travel budgets, any kind of pushback that you think in terms of the amount of people they put on the road? Or the amount of people they put into groups? Or is that not really an issue and it just put a pegging off this idea of impairment?
Chris Nassetta: It's another reason I think it takes time to get back to 19 levels, sort of picking up my earlier answer is because I do think, not only people cut budgets, not everybody, was Amazon or whatever and that has really benefited during this time a lot. Most businesses by number have been really negatively impacted by the pandemic and they need to cut expenses. And so I'm highly confident, as is the case with any cyclical downturn and recovery, when this happens that those budgets will build back, but it will take some time. Now, I think in the second half of this year, I think, number one, there's a huge amount of pent up demand. And by definition, they only have half a year to spend whatever they have anyway, because nobody's going to doing a ton of traveling in the first half of the year. So I think, ironically, I think there's plenty of budget capacity, I look at our own budget, there's plenty of budget capacity, when you talk to businesses for the rest of this year. I think as you go into next year, if we're in a full scale recovery, while people are going to, for a period of time, want to be thrifty. I think in the end, it'll just be what the opportunity set is. And if we're in a robust recovery, what I have seen again, I can't prove it, but I've seen it in every other cycle as you get into that, the rope gets, businesses let the rope through their hands, because they have to, they have to deliver alpha, they have to compete against other businesses that are trying to do the same thing. And so, their people have to get out on the road, they have to have meetings, they have to build their culture, innovate, collaborate, get out, get their sales forces out and do all the things they do. So, the steeper the slope of the recovery, like in every other cyclical recovery and that's when we get through the pandemic, we're done largely with the health, then you're in a cyclical economic recovery, the steeper the slope, the faster it comes back. That's just the way it's always worked. I don't think it'll be any different here. But that's why I said 23, 24. I, again, I said probably I'd take the earlier of that the rather than the later given the current slope of what we're seeing. But that's why it takes longer, we will get back to room nights, I think faster, because we'll still find room nights that are lower rated business, because we've gotten really good at that. But we're going to want to shift the mix out over the next couple of years to the higher rated business, get more compression from groups to ultimately get back there. So I think budgets will normalize, sort of between now and 2023, if the slope of the recovery is what we think, is what we're seeing.
Operator: Next question comes from David Katz with Jefferies.
David Katz: Covered a lot of territory already. But I wanted to just talk about the development in general. And, we have not talked much about the degree to which the interactions with owners, maybe changed either temporarily or permanently. We've been so focused on the demand recovery, which obviously is worthy of consuming our attention. But is there any semi-permanent or permanent change and the manner in which you deal with the development community and sort of how those monies and risks are managed long-term.
Chris Nassetta: It's a complicated answer, I think when you boil it down, I don't think there is going to be any material shift. I do believe, obviously, short to intermediate term, there's a shift because like everybody, not all of our owners, but most of our owners are dealing with a very difficult situation, I would say that 99.9% now, some of them are much further along in recovery, because their portfolios are in markets that have had rapid recovery resort market, southern U.S., and they're doing pretty well. But broadly, the owner community, obviously, has been hurting, as have we, as have the whole industry, there's not -- it's not like, it's been easy on any of us. We obviously have deployed a whole host of things to be supportive of the owner community and those are still fully deployed, in the sense of working very hard with a lot of folks on behalf of the industry for government support in the right areas and we don't -- we have not stopped those efforts. And I do believe as we get to a real recovery there's opportunities to get help with real stimulus to get people moving again. And so we continue to work, day and night, on those efforts as things evolve. And obviously, we've done, a whole bunch of work in the short-term to provide massive amounts of relief from standards across the board, so that owners could -- make manage their way, we could all manage our way to the other side, I've mentioned it in passing. But it's worth mentioning, again, we call it our hotel, the future work, we were looking in a very granular way across every one of our brands. We're not done with the work but we were done with a lot of the work to figure out when we get to the other side, how do we deliver the incredible experience for the customer that continues to drive the premiums that we've had, by the way, which is the highest levels in our history at this moment. But also do it in a way that's more cost efficient for our ownership community. I'm highly confident, as I said, even with the labor pressures that we are going to experience here in the U.S. particularly, that when it's all said and done, we're going to be able to drive higher margins. So on a like-for-like basis, if you believe which I do, that, when you get out a couple years, you're going to have similar demand levels to '18 or '19 even with the cost pressures, we believe that we have that we have engineered a way to be able to drive even greater returns. So our owners, while it's difficult, now when we get the other side, both their existing assets and their opportunity set for doing a new development, we think are going to be better than what we had pre-pandemic, because we think we were just doing a better -- we're going to do we are and will continue to do a better job. And so that's a long winded way of getting to the answer, which I gave you at the beginning. So as a result of that, I don't think they'll be a meaningful difference. I mean, with some owners, there may be but I would say, in the main I don't think so, I think the owner community, that we deal with which is an immensely diversified community, we have 10,000 owners around the world that we deal with, the vast majority of them, this is their business. This is what they do, own and operate on a franchise basis. And it's all they do. It's not the case across all 10,000 owners, but the bulk of our system, this is what people do. And I don't think if we can deliver for them, the premiums we've delivered, which have only gone up and do it in a way where they can get more of the bottom-line, that they're going to abandon their business model. I think they're don’t want to carry on. But it takes some time, right, this being pragmatic, because this has been really difficult, and which is why we've worked so hard to sort of help create the bridges both and what we could do, what the government could do to get them the other side. And why I said in, honestly, in my earlier comments, particularly in the U.S. where why I think the new development side and all of these pressures and just the pressures of owners, broadly is going to mean, it's going to take a little time for the new construction side of development to pick up what it was pre-pandemic, but that will happen in my opinion. And I think the relationship will be much more similar than different to what it was. And as I said before, in the meantime, it's a big world and we've pivoted and we're doing some really cool things around the world to make sure that we continue to enhance our network effect and deliver more hotels and more fees.
Operator: The next question is from Richard Clarke with Bernstein.
Richard Clarke: Just a quick question on the owned and leased portfolio, obviously, that seems to have driven the most volatility in the quarter. Where do your ambitions with that particular division stand? Are you looking to transition that more rapidly towards asset light now? And where do you think the cost savings in that segment can land in the longer term?
Kevin Jacob: Well, the cost savings, look, it's everything across the board, just like any hotel owner would be doing in times like this, we're looking for cost savings in sort of literally every aspect of the operations. I think our ambitions in that portfolio, we are pretty capital aid, right? So even in normal times, that ownership was down to 7% to 8% of our overall EBITDA, something like that in 2019. And we've been saying for a long time that if we think about -- we think about our portfolio, it's about 60 hotels, primarily leases, about 20 of them were strategic, we'll be in those leases, no matter what, over time, they have good coverage, they're important hotels, we've got 20 at the bottom, where they're sort of legacy -- their legacy deals that we inherited fixed lease payments in markets that aren't as robust, those we will exit no matter what, when the leases are up. And then, there's about 20, that are in the middle, where when the leases roll, we sit down with the landlord, and if we can work out an arrangement that we think makes sense for us to continue, we continue, if we don't, we get out. And we've sort of enrolling our way out of three to four of them a year, we think it's actually probably more like six to eight of them this year, that will transition out of either transitioning them to management agreements, or franchise agreements, or just getting out. And over time, you'll wake up a few years from now and it'll be something like less than 5% of our overall EBITDA and that will remain the trajectory.
Chris Nassetta: Having said that, in the next -- starting in the second half of the year and into the next couple of years, this will accelerate our overall growth, just because, sadly, the ownership segment given a lot of the fixed rent nature of it and where it's been, which has been concentrated in U.K., Europe and Japan, which have been impacted, dramatically, more impacted. If you look at the RevPAR numbers in those markets and in the segment are twice as bad in the first quarter as the overall. As you get those markets open, you're going to take those numbers, which have been terrible, will become a significant contributor to growth.
Kevin Jacob: Yes. And we think that happens over the course of the second half of the year.
Operator: And the next question will come from Robin Farley with UBS.
Robin Farley: Great. Yes, I had a question going back to the unit growth topic. One is, I wonder if you have thoughts about 22 unit growth. The rate, you mentioned U.S. new construction, obviously, would be lower, kind of how that would compare to this year's 4.5% to 5%. And then, also on that topic, the conversions in this quarter, I think we're 20 some percent of openings. Do you see that moving higher? In other words, are you in the early stages of budget conversions that maybe will come out later this year? I know you've talked in the past about how pressures in the business can lead to a greater rate of conversion. So wondering if that's teeing up for later this year? And then, could that offset the lower new construction growth next year? Thanks.
Chris Nassetta: Yes, sure, Robin, good questions. I think, look, in the first part, I think we've said, several times publicly that we think over the next several years, it'll be between 4% and 5%. And, sort of the range there is meant to capture sort of all of the things we've been talking about, right, the timing of openings, the timing of conversions, the timing of removals, the trajectory that we're seeing in new construction. So we still think 4% to 5%, it'll be within that range for the next few years. And then, the second half on conversions, yes, we do you think conversions will pick up over time. In the last cycle, it got to something in the 40% range of overall deliveries probably doesn't get and we've think we've said this publicly as well, probably doesn't get back to that level. This cycle just because the denominator likely won't contract that dramatically, but we do think conversions will continue to be bigger contributor, it'll be a little bit lumpy a lot of them are larger hotels, some of the things we're working on now or bigger deals either portfolio deals or larger individual hotels that sort of require a transaction to happen for the conversion to happen. So I don't know if that happens later this year or next year, but it definitely will pick up over time.
Operator: The next question is from Bill Crow from Raymond James.
Bill Crow: Looking globally, how important is outbound Chinese travel to the recovery in Europe? And are there any comments you can make on the trends about on Chinese travel to that?
Chris Nassetta: Yes, I mean, we've been having a lot of discussion within the industry. And within China, in fact, I participated in a meeting with the Premier Li of China, just a couple of weeks ago and this is one of the topics that we talked about. If you look at our business, using some metrics, in our business, like in the U.S., international, inbound, only about 4% of the business, if you look at our business globally, it's about 10%. And it does weigh, obviously, more heavily inbound business in other parts of the world, particularly in Europe, which depends on it more. So would be higher than 10%, a large feeder market is China, I mean, its other parts of the world as well, but it's China. And so I think as Europe opens up, obviously, they're going to be like the rest of the world, I think they're going to be doing, within region travel, which given all the pent up demand, as actually I think been reasonably good, just like we're seeing in the U.S., even though we don't have much inbound travel going on, we don't have any outbound going on. And so I think, in the end Europe's opportunity for the early stages of recovery are robust for the same reason, while they're not going to have inbound from China, or other markets, they're not going to have any outbound and Europeans like to travel and particularly in the summer, like to go on vacations and when it's open and they can, they will and they'll stay within the confines of either their countries or the region. So I think I think it's going to be fine. Obviously, longer term, as you get some more stabilized world, you want to open up these travel quarters, I had a meeting with the White House last week, maybe the week before they said with Premier Li of China, the week before that. And we were talking about a lot of topics, but that was a primary topic both was the Chinese administration and the U.S. administration on trying to figure out how do we figure out as the world is getting vaccinated and it's a little uneven, but as certain countries are getting heavily vaccinated and getting to a reasonable level of herd immunity. How do we open up safe travel corridors? Europe is doing the same thing. Those discussions are ongoing we're trying to get those discussions going with the U.S. They are obviously, already starting to have those discussions with China. And so, I don't you know -- that will take some time, I think you will start to see some bilateral agreements or multilateral agreements in the second half of this year. I think we're at a stage right now, where we're --- everybody's still focused on vaccination to get their herd immunity. But with the overwhelming amount of supply of vaccines, which aren't all distributed perfectly around the world, or even around our country at this point, but the numbers are becoming overwhelming, the surplus is there going to be calm as we get into this summer, my sense is overwhelming. And we're going to be able to have a shifting of those resources around the world to the markets most in need, as we get into June, July, August, September and into the latter part of the year, that is going to allow for a reasonably, hopefully a reasonable trajectory in terms of, some of the some of these economies getting to a better place. China is obviously already in a reasonably good place. So, as the U.S. sort of, has a few more months in Europe, I think the real opportunities to start opening travel quarters. I do think it'll happen that way, just based on the discussions I'm having with multiple administrations than our teams are having, I don't think it's going to be like, one day the world's open, you know, like, Yay, everybody. I think it's going to be agreements between like, the U.S. in the U.K., the EU and China, the U.S. and China that will allow for those quarters to open up, you know, make sure that there's flight capacity that the regime for vaccination testing and all that is sort of is bolted down. So that's a long answer, because it needs to be as complicated, I think in the second half of the year. My hope is and belief is that you're going to start to see some of those corridors open up. We're pushing everybody really hard. But in the meantime, I think we're fine. Just because if a corridor is not open, as I said, people are restrained and leaving their country or their territory, and they're going to start traveling when they feel safe. And you're going to keep all that pent up demand in your local market.
Operator: The next question is from Patrick Scholes with Truist.
Patrick Scholes: One of the issues of the moment at the property level is with staffing and wages. I'm wondering your thoughts on this? Do you see that as a temporary issue that hotels can get by the summer without having to raise wages to attract employees? Or do you see wage inflation inevitable to meet the staffing challenges? Thank you.
Kevin Jacobs: Yes, it's a difficult issue, as I'm sure if you're talking to the ownership community you're hearing and listen, we talk to him every day and we operate a lot of properties. It is singularly at the moment, I wouldn't say the only issue when you're in a global pandemic, there's lots of issues, but it's one of the most important issues because, it is very difficult, particularly here in the U.S. to get labor and it is constraining recovery on a certain times, because you can't get enough people to service the properties. I do think in the short-term, I've already said it, and it's implied in earlier questions, there's going to be wage pressure, wage inflation, I do think it will stabilize and work itself out as we get later into the year, it's a complex issue, That is at the intersection of people being concerned about their health still, particularly in some of the communities that we need to get focused, back in coming back to work and that's going to take some time, both vaccination and marketing to a number of those communities to get vaccinated and getting it done and getting them to a place where they feel safe being in a workplace. So that's part of it. And then, the other part of it is, getting kids back in school, because a lot of people in the workforce are taking care of kids, they don't there's no daycare, school becomes daycare, and the federal government's it for all the right reasons, the way back when did a top up of unemployment insurance and on top of the state unemployment insurance and obviously sent out $14 100 checks and they did all these things to support people that were in arm's way, all of all of which made sense. At the time, maybe some of it makes a little bit less sense now, in the sense that the demand is there, and the jobs are there. Yet people don't have as much of a need to come back to it. So, but that in theory, on September, whatever, six, the Federal top up, expires, I guess it could be extended my impression, it will not be -- my hope is it will not be not because I don't care about the people, I think there's just enough jobs. We literally, I think 3 million of our Hilton but industry folks do a lot of work. I think by the time you get to September, October, I think the vast majority of those could easily be reemployed given what I think demand will be in the business. And that's for everybody, right best for the country. It's best for the individual, team members, but it's that the convergence of all of that. So I think it's going to tough. I haven't been talking to a ton tomorrow, I think it'll be tough between now and September. I think when we, by the time you get to September, mass vaccination will hopefully be behind us, kids will be back in school. And people will feel safe, that it's safe to go back. And they want to get back in be earning a paycheck. And so, I think it will then stabilize as we get into the latter part of the year.
Patrick Scholes: Thank you, Chris for your complex and evolving…
Chris Nassetta: Trust me, we're spending a lot, there's no silver bullet in the short-term. We've spent a lot of time on it. I think this is one of those, you just have to sort of -- you just have to work through it. It will work out because all of those things are going to be changing. And so the conditions are going to change pretty materially, as we get to the fall, but between here and there, it's going to be incremental, because then I think it'll be a sea change in the fall.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would now like to turn the call back to Chris Nassetta for any additional or closing remarks.
Chris Nassetta: Chad, thank you and to everybody that joined us today, we appreciate the time, as always, it's hard to say we're really pleased with where things are given what we've been through over this last year and that we're still in the middle or towards hopefully the end of a pandemic. But we are pleased, I've always had confidence in the business model of ours. I've always had confidence in people's desire to travel; for all the reasons they have always wanted to travel. I think the evidence is pretty clear one that -- the decisions that we made as a result of the crisis have made our business stronger. We're driving higher market shares, higher margins, on a lower cost structure and that as we see, the telltale signs of getting past the health crisis. We're starting to see the world come back to life and all the reasons I thought people wanted to travel are, I think playing out, the way in and we had hope for we have a ways to go. So I don't want to be a power Pollyanna about it, but we feel good about where we are and definitely incrementally better than we did over the last couple quarters. So thanks again. And we'll look forward to reporting back after we finish our second quarter.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.